Operator: The following is a recording for John Baker with Photowalk Properties Incorporated on Tuesday, August 3, 2021 at 10:00 AM Central Time, 11:00 AM Eastern Time. Excuse me, everyone, we now have John Baker, Executive Chairman of FRP Holdings Incorporated in Conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of Mr. Baker's presentation, we will open the floor for questions. At that time instructions will be given as the procedure to follow if you'd like to ask a question. I would now like to turn the conference over to John Baker, sir you may begin.
John Baker: Good morning. Thanks for joining us today. I'm John Baker, the second Chairman and CEO of FRP Holdings Inc. With me today on this call are David deVilliers Jr., President of the Company; David deVilliers III, Executive Vice President; John Baker III, CFO; John Milton, our General Counsel and John Klopfenstein, our Chief Accounting Officer. Before we begin, let me remind you that this presentation may contain forward looking statements. Such statements reflect management's current views with respect to financial results related to future events, and are based on assumptions and expectations that may not be realized and are inherently subject to risk and uncertainties, many of which cannot be predicted with accuracy and some of which might not be anticipated. Future events and actual results financial or otherwise, may differ perhaps materially from the results discussed in such forward looking statements. Risk factors are discussed in our SEC filings in annual, quarterly and quarterly results. These forward looking statements are made as of this date and based on management's current expectations. The company does not undertake an obligation to update such statements other than is imposed by law, and investors are cautioned not to place undue reliance on such forward looking statements.  The second quarter saw revenues and NOI growth 45% and 37% respectively versus the same quarter last year. 1Q [ph] revenues were the highest in our history and the likelihood of passage. A federal infrastructure bill gives us an expectation that the royalty earnings will continue their secular growth. Net income for the quarter was $82,000, or $0.01 per share versus $4,149,000 or $0.43 per share a year ago, driving this decline was the amortization of the leases in place as a result of last quarter's consolidation of demand and leases in place, which was part of the write up of that asset. Also contributing to the decline in earnings was the interest on the now consolidated Marin loan and lower gains on the sale of real estate.  Let me now turn it over to David deVilliers to walk you through our operating results. 
David deVilliers III : Thank you, John and good morning to those on the call today. I'll now offers some detail to the financial highlights provided by John in his opening remarks. Since the 2018-19, dispositions of our warehouse platform totaling a little over 4 million square feet, we have been actively seeking value add purchase opportunities, development lands for vertical construction, and new strategic partnerships. Additionally, we have continued to develop and construct secular projects upon our land inventory when available and proved [ph]. In early 2019, we added an asset to our asset management business segment through the purchase of the cranberry run business park in Aberdeen, Maryland, 268,000 square foot multi building warehouse park that was in dire need of rehabilitation. We completed an extensive renovation of the business park and associated buildings late last year. Due to the nature of the short term lease program at cranberry we have had some turnover and at the end of June 2021 the park stood at 77.6% leased and 59.7% occupied versus 71.9% leased and occupied during the same period last year. 34 locked in, our home office is 95.1% occupied and we've recently completed a much needed renovation of the first floor lobby and common areas.  Total revenues for the asset management segment for the quarter were down 78.9% or $128,000 over the same period last year, to $588,000, mainly as a result of the sale of our 94,000 square foot industrial building at 1801 62nd Street in July of 2020. 1801 62nd. Street was responsible for $163,000 of revenue in Q2 of 2020. We realized an operating loss of $160,000 down $218,000 from an operating profit of 58,000 in the same quarter last year, again, primarily due to the sale of 1801 62nd Street. Other assets in this segment remain leased and occupied as in previous periods.  The mining and royalties business segment remains strong with revenues of $2,634,000, an increase of $232,000 over Q2 2020. This was the most revenue in any second quarter ever. Operating profit was 2,292,000, which represents $182,000 increase over the $2,110,000 realized in this period last year. With respect to ongoing and new projects in our development business segment, we have several really strong highlights. One, at quarter's end, phase one of our joint venture was St John properties consisting of four buildings totaling 72,080 square feet of single storey office and 27,950 square feet of small Bay retail space in Baltimore County, Maryland, gained a retail tenant during the quarter increasing the percentage amount of lease to 48 with occupancy of 46.8%. These asset classes of office and retail have been hit especially hard by the pandemic. Our tenants at winless though, have kept current with their rental payments, and we are encouraged by some increased leasing activity here. After the sale of our 92,000 square foot warehouse at 1801 62nd Street in Baltimore, in July of last year, we were encouraged by the velocity of the sub market and began construction of two speculative shell warehouse buildings totaling 145,700 square feet at our Hollander business park near the border of Baltimore. Like their predecessor, these are state of the art class A concrete tilled up buildings with 28 foot and 32 foot clear ceiling heights built the Baltimore City Green Building Standards. We are actively pre-leasing and have pre-leased 39% of one building and are encouraged by the continued activity in the sub market. We expect to complete and deliver both buildings in the third quarter of 2021.  Also in the second quarter of this year, we executed a built to suit lease for 101,750 square foot facility at 1941/62 Street. This is the last building lock and Hollander business dpark. We plan to combine steam structured on this project in the third quarter of this year and expect to deliver the building to the tenant before the end of calendar year 2022.  We can send you with the PUD entitlement process our Hampstead Overlook Project of 118 acre development tract in Hampstead, Maryland. The concept plan approved at the end of last year calls for 164 single and 91 townhome units. We are currently seeking preliminary plan approval from the local agencies that the next step in the development process. We are optimistic that 2021 will be the year of substantial progress towards this goal. As an update to our lending venture investments program, tide park in Baltimore County, Maryland is now complete. All principal and accrued interest has been repaid and preferred interest in shared profits totaling $1.03 million have been received.  Another lending venture called Amber Ridge is located in Prince George's County, Maryland. Our total commitment for this project is $18.5 million. As with our Hyde Park venture investment includes a charged 10% interest rate and a minimum preferred return of 20% above with a profit and waterfall determines the final split proceeds. Entitlements are complete, land development is fully underway and to national home builders are under contract to purchase all 187 lots after completion of the infrastructure development. The first set of finish lots are scheduled to be delivered to the purchasers in the third quarter of this year.  On the joint venture front, at the end of 2018, we entered into our third joint venture with MRP to develop the first phase of a mixed use residential and retail development project adjacent to the Red Line Metro Station in Northeast Washington DC, known as Bryan Street. As a transit oriented development, immediate access to public transportation options is a critical feature the design and marketing of this project. The first building named Coda was placed in service on January 1 of this year, and received final certificates of occupancy on April 1 2021, for all 154 of its apartments. Thanks to Herculean efforts from our leasing team. Coda was 88.3% leased, and 67.5% occupied at the end of the second quarter. Of note, as of August 1, Coda was 93.5%, leased, and 85.7% occupied.  With the leasing success of Coda despite COVID challenges, we are optimistic about the leasing velocity for the neighboring two buildings at Bryan street called Chase. These two buildings are scheduled to be open and ready to receive tenants in mid-August. In total phase one at Bryan street will consist of 487 apartments in three buildings and 89,196 square feet of first floor freestanding and open air retail. 68,691 square feet or 77% of the retail is now pre-leased, and expected to open for operations by year end. This property is located in designated opportunity zone, which allows us to defer a significant tax liability. In December of 2019, the company entered its was fourth joint venture with MRP for the development of a mixed use project at 1800 half street and Southwest Washington DC in the buzzard point area, just a few blocks down river from Marin and Dock79. In August of 2020, we began construction. The project now known as The Verge lies directly between our two acres on the Anacostia River, currently under lease to Vulcan materials, and Audi field, the home stadium of the DC United Soccer franchise. This 10 story structure will have 344 apartments and 11,246 square feet of ground floor retail is scheduled for completion in the summer of 2022. At quarter's end the verge was 27% complete. This project is also located in an opportunity zone. Also in December of 2019, we entered into two joint venture agreements with Woodfield development to invest in two distinct projects in Greenville, South Carolina. Woodfield has vast experience developing residential and mixed use projects throughout the South East and Washington DC. The first day be called Riverside is a 200 unit three building apartment project. Construction began in the first quarter of 2020 and is on the doorstep of completion. Pre leasing efforts began last week of July. The second JV with Woodfield is a 227 unit multifamily development and titled 0.408 Jackson. A nod to Shoeless Joe Jackson adjacent to green bills minor league baseball stadium. This project will also include 4700 square feet of retail space.  Construction began in May of 2020 and should be complete in the summer of 2022. Currently, this project is 54% complete. Riverside and 0.408 Jackson represent a $15.9 million investment from FRP for a 40% ownership interest in these two South Carolina projects, which are both opportunity zone investments. The structure of these investments will ultimately allow us to defer a total of $4.3 million in federal taxes. Relative to our industrial development platform, late last year, we completed the purchase of a 55 acre tract of land in Aberdeen Maryland. Adjacent to the cranberry run business. Purchase price for this property was $10.5 million. This project will be known as cranberry run business center phase two, and can support up to 675,000 square feet of warehouse product in a robust distribution market. This purchase expands our industrial land holdings to allow us to continue the Industrial Development Program beyond the nearly complete healthcare business park involved in Brazil.  We are currently petitioning for annexation, to bring all partners parcels that make up the assemblage into the same municipal boundaries. This process will take the rest of this year. And we have begun the design processing unit. Existing land leases for the storage of trailers on site will help to offset our carrying entitlement costs. Average monthly revenue from land leases for the second quarter were in excess of $42,000. We are hopeful we can begin vertical construction here in early 2023.  Moving on to our stabilized joint ventures business, in July of 2019, we completed a partial 1031 like kind exchange by investing $6 million or 26.6% beneficial interest in a Delaware statutory trust for DST that owns a 294 unit garden style apartment community known as Hickory Creek located in Henrico County, Virginia. The complex was constructed in 1984 and substantially renovated in 2016. The business plan calls for further rehabilitation departments, generating value added rents prior to selling the project after an appropriate hold period. We continue to receive monthly distributions from operations at Hickory Creek.  Q2 2021, distributions were $87,000 equal to a 5.5% per annum on our investment. Occupancy average is above 95% for this project. In March of this year Phase 2 of our Riverfront on the Anacostia project in Washington DC, known as Marin, reached stabilization or 90% occupancy of its 264 apartment units and as a result of this milestone, join Dock 79 and Hickory Creek and our stabilized joint ventures business segment. At quarter end, 94.7% of the apartments released and 93.09% were occupied. Relative to the 6,900 square feet of first for retail, 100% of the space is leased with occupancy is currently scheduled for the third and fourth quarter this year. As with Dock 79, this is a joint venture with Mid Atlantic Realty partners or MRP, which FRP is the majority partner. Of particular note, this building received its final certificate of occupancy at the end of March 2020, and reached stabilization of 90% in less than 12 months. This is a testament to the quality of location and product delivered in the market and the skill and leadership on the ground managing the day to day operations.  As a result of the quick stabilization of this project, and certain consort contractual obligations to our joint venture development partner FRP ownership interest in Marin is now 70.41% down from 80% for our to stabilization. Relative to Dock 79 is 305 apartments were 25.2% occupied on average year to date. And we're 94.1% leased and 96.4% occupied at quarter's end. Marking a third quarter in a row with occupancy levels above 94%. Our retention rate at Dock was 61.4%, down slightly from 62.3% last year. Rental rates however, were flat due to continued government imposed restrictions on rent increases due to COVID. These restrictions are currently scheduled to expire at the end of the year. Dock 79 has fared quite well over the past year despite the significant interruptions we all experienced. Those serious impacted by COVID with shutdowns reduced capacity canceled stadium events and general uncertainty are three retail tenants at Dock 79, which total approximately 10,500 square feet of the total 14,000 square feet of retail space seem to be holding there and have made significant headway towards normalcy with a loosening of some restrictions, warmer weather, better utilization of outdoor spaces, and stadium events with spectators.  Of particular note overage rental payments received for the second quarter were $120,000 for the three retail tenants. In early April, the remaining retail space became leased, and we look forward to fill retail occupancy in late 2021. Dock 79 was our first joint venture with MRP and FRP is the major partner with 66% ownership. Revenues for the quarter for both Doc 79 and Marin, were $4.8 billion up 96.7% over the same period last year, primarily due to Marin's [ph] lease up.  Marin revenue represents $2.16 million and Dock 79 claims 2.66 million in revenue an increase for Dock to $208,000 over the same period last year. NOI for the quarter in this business segment was little over $3 million, up $1.38 million, which is 83.6% over the period last year. Thanks again to the addition of Marin to this business segment that's leasing success. We have touched a few times on the impact COVID has had on FRP. Despite the arrival of the Delta variant, summer is in full swing throughout our portfolio, and life is looking more normal every day. Major League and minor league baseball is back, bars and restaurants are open both inside and out. Trucks are moving goods and tenants are leasing space. These are strong signals for us personally and as a business. That new life new energy and new opportunities are happening every day. We have been extraordinarily fortunate that our warehouse board platform is performing at least as well as it has historically, construction material needs have kept mining revenue solidly positive. We continue to identify new opportunities despite raucous competition for deals. And the timing for construction delivery of several of our multifamily and mixed use projects have lent themselves to capitalize on the reemergence of activity. However, we have not been unscathed by the effects of this terrible globalization. And notwithstanding the good news, we do expect to see the continuation of limited retail and office leasing, as some business categories remain uncertain amidst the unique regulatory and public health plan. We are cautiously optimistic but also realistic. FRP has adjusted its operations withstood infected employees and contractors, held the hands of tenants paralyzed by new government regulations preventing opening for the business and witnessed the terrible results of this global pandemic.  Now, we have employees back in the office collaborating and interacting on a regular basis. And we are building back toward an FRP that is more recognizable than over the past 16 months. All the while we remain grateful that as a company and group of professionals, we are solidly grounded and uniquely prepared to progress as an organization loyal to our mission that is served as well both before and during COVID-19.  Thank you and I'll now turn the call back to John. 
John Baker: Thank you, David. We will now open it up for questions from the floor.
Operator: [Operator Instructions] Our first question comes from Bill Chen with Rhizome Partners. 
Bill Chen: Hi, guys. Good morning. I didn't realize I was going to go number one. Great results as always, I got a few questions and I think I'll just run through them. What on the first quarter filing is show that the display work between FRP and MRP was 7238, I think there was some adjustment as the MRP wind up getting a little more what was the final split? 
David deVilliers Jr.: The final for the, what we started as you know, we started out at 80%. And then as we started to get through the process, we had some early on appraisals, for video and some of those programs that took us to something that was much less than what ultimately the market value was determined for the building during our negotiations. So we recorded that the, our ownership and 72% for the end of the first quarter. And then we actually went through the process of the appraisals and that sort of thing and reduced our ownership a little bit further to the agreed upon ownership percentage of 70.41% for FRP. And that's what we'll be going for. 
Bill Chen: So that's 70.4. 
John Baker : 70.41 yes. 
Bill Chen: Okay. Gotcha. Thank you. On Bryant Street, I think you reference that 67% of the retail is pre lease, and I saw abysmal [ph] article that gave a pretty good kind of summary on the progress there. What is I know Alamo is moving forward with opening that location? I guess what is the key remaining space that needs to be leased for buying street? 
David deVilliers Jr.: Well, we have, we have several different types of Bill as usual, as you alluded to, of retail there at Brian's rate. We have obviously the Alamo, which is why we have what we call small shop, small shop retail, which is your basic inside retail. We also have a food Hall concept that totals about 9400 square feet. And then we have what we call an outside pop up retail. And that's an area for outside activities and that sort of thing, which is effectively 100% leased and waiting for its final certificate of occupancy. So the areas that will need the most release up is probably the small shop retail because that totals about 23,000 square feet across all four buildings. And we have 9000 square feet of that pre leased. 
Bill Chen: And that's 9000 pre lease, okay.
David deVilliers Jr.: On that particular site, yes. 
Bill Chen: The Metro car bar car set looks really cool. 
David deVilliers Jr.: That's the outside pop up. 
Bill Chen: I'm jealous. You guys get to do some stuff that Deb folks here in New York, just don't have the chance to do stuff like that. So that's really cool. The jumping around back to Dock 79, you mentioned that the overage payment on the restaurants at Dock 79 is 120,000. How does that compare to 2019 which is a more normal year. 
David deVilliers Jr.: Well, we weren't, we didn't have all three of them up and operating fully in my teens. It's kind of hard to compare the two. But at least a couple of the rest of the two restaurants that were operating fully. It's back to where they were in '19. 
Bill Chen: Oh, wow. Okay. That's fantastic. 
David deVilliers Jr.: You know, 19 might have been almost unrealistically exceptional given that the NATS went to the World Series and then obviously helpful. 
Bill Chen: Got you, that's helpful color. I actually went down there in October 2019, and I remember being mob [ph]. The -- can you update us again on that remaining space? That space that got lease. What's that concept for and how many square foot that was?
David deVilliers Jr.: Bill, it's about 3500 square feet. It's right on the Esplanade. And they are under construction there. Now it's a kind of a little bit of a different concept. It's got kind of a like theme to it. There'll be more I think breakfast and lunch served there then certainly the other venues, so we think it works very well with the other venues that are there talking there.
Bill Chen: Thank you. That's helpful. On Riverside in Greenville, everything that I've been hearing about Greenville has kind of exceeded my expectation. I know that you guys have not started leasing yet. But in terms of the go to market, asking, Brent like, how does that compare to what you guys have previously budgeted for? Is just that what and I asked, I know, it's kind of unfair of a question. But everything that I've been reading about some bell multifamily is at rents up double digits. So we're just wondering Riverside if you're seeing kind of similar outlook on rent there? 
David deVilliers Jr.: Well, it's a little early to tell. Bill that Riverside is basically three building program. The first one, we did not do any real free leasing there, prior to the occupancy, we just felt that that was a better plan for that. And the first building literally opened up last week. So I believe we've had like nine or 10 pre leases already. And they seem to be somewhat equivalent to the ones that what our budgeted numbers were, but it's only early. We'll have a better idea next quarter. 
Bill Chen: Got you. mean, I know like, I'm probably my question is probably a little bit early. But the statement on the investment community towards sunbelt multifamily has just been off the charts lately. And my last question would be on Bryant Street, I know, Coda is kind of a more affordable product. And the leasing on them has been absolutely astonishing. Any thoughts on the remaining assets, I guess they're kind of 15% to 20% more expensive on a per square foot basis. Kind of views on kind of demand for the remaining products? 
David deVilliers Jr.: Well, we just again, with the success of the Coda, we're obviously encouraged about the leasing was off-velocity [ph] for these two buildings. In Chase, as you know, these two buildings, they totaled about 150-some units per building, and we did not do any pre-leasing there because of trying to get Coda word it is; and obviously, the success of Coda has certainly bolstered our encouragement towards the case. But it literally I believe that Friday, we got the certificates of occupancy for the first couple of floors. So again, little premature, on the being able to answer that question, Bill, because we're literally three days into Chase, we've got a tremendous amount of activity there. But it's literally the tower without the ramps. 
Bill Chen: Got you. Thank you for that color. And one last question. In the filing, you mentioned that, you know, the rent regulation in DC, it's going to be February before we could actually increase rents in Dock 79 and the Marin. You know, fewer [ph] in the air I guess, by that point be about two years before we raise rent in the Marin Dock 79, finger in the air what do you think the sprite will be once we're able to increase rent? And then is it fair to assume something like a 5% rent bump when we're able to increase rents in Dock 79 in Marin? 
David deVilliers Jr.: I'm just kind of thinking two years, 2.5% to 3% a year that we weren't able to push through. Is that a fair assumption? 
David deVilliers III: That's your assumption I don't necessarily disagree, but it's a little early to tell. I mean, again, currently, the rent freeze is scheduled to expire in December, the end of December. We do these renewals and so forth and so on out about 60 days. So that takes us into February or possibly March. So it kind of determined, that the timing is important. You know, there's a psychological aspect to leasing spaces in the first quarter versus the second. So it's really kind of hard to tell. But you know, it's just too far off for us to really be able to offer that much of an opinion. 
David deVilliers Jr.: A little color would be just the average rent and demand is $4 a foot and the average in Dock is 350. 
David deVilliers Jr.: So, you know, I would expect that, that Dock would move up and of course, now Marin frozen. And so hopefully, they'll be at least what you're saying.
Bill Chen: Well, thank you, gentlemen, those are all my questions, great results, and look forward to being down there and see these assets in person sooner rather than later. 
David deVilliers Jr.: Thank you, Bill. Love to see you.
Operator: We'll take our next question from Stephen Farrell with Oppenheimer. 
Stephen Farrell: Good morning, everyone. I just have a quick question with respect to Bryant Street. Will that follow a similar path is the Marin and Dock 79 and that, upon stabilization, you will refinance and consolidate or is stabilization of all four buildings when that would happen?
David deVilliers Jr.: It will not follow that Stephen, because of the opportunity's, we just had a different setup for that than for Dock 79. And in the Marin, so, it'll stabilize and we'll refinance, but it will not consolidate onto our books, because it doesn't have the same control trigger when it hits stabilization. So it'll stay on the joint venture equity accounting.
Stephen Farrell: And you expect that to happen for the Coda this quarter.
David deVilliers Jr.: Has to be the whole projects that you can [indiscernible].
Stephen Farrell: Okay, good enough. That makes sense, thank you. And in the next year -- really, over the next quarter and two years, we have a lot of development projects in the pipeline that are coming to market. In the next two to three years down the line what's your outlook on capital allocation? Are you seeing opportunities now to add the pipeline? Or will you begin to shift focus towards developing phase three and four of the Anacostia?
David deVilliers Jr.: I think we look at all aspects of our business the same way with we'll see how Brian's Street goes, we're worth doing some free development and in all of our areas there that we don't so that if and when the time comes, we're not going through just the patent a way to develop to go through the entitlement process that takes a long time in the District of Columbia.
Stephen Farrell: And are you seeing a lot of other residential buildings coming into market right now to or no?
David deVilliers Jr.: I'm sorry, you broke up a little bit Stephen.
Stephen Farrell: In the DC area here are you seeing a lot of competing residential buildings around Bryant Street in near the Marin?
David deVilliers Jr.: Yes, there's other there's other obviously developments going on in on around projects with Marin and Bryant Street. We think we've got some specifically special programs at Bryant Street that a lot of the other developments don't have not the least of which is a lot of open space and outdoor venue activity, that most of the place of the Urban Development's there do not have. Same thing holds true for Marin and Dock being down on the water. Like to think we have a leg up. 
David deVilliers III: Stephen to dig further into your question, you know, we would go to a phase two at Bryant Street if phase one is as successful as we think. And so that's certainly part of our pipeline. You have phases three and four, down on the waterfront, and they're certainly part of our pipeline, and of course Bryant Street, will, will be coming on in the meanwhile, too. So we feel like we have got, a long runway of projects that we're that we're excited about. I can't stress how amazing the lease up of Coda has been. I mean, this is a project that is transit oriented. And the biggest amenity was the Alamo theater. Our entrance, our ability to access to transit has been zero and obviously COVID is made transit less of an amenity. And we will open up Alamo in December. So the fact that we had incredible leasing activity without both of those, having any attraction whatsoever, was very encouraging. And so we're optimistic about the rest of that project.
Stephen Farrell: Great, thank you for the additional color. That's all the question I have.
Operator: [Operator Instructions] Our next question comes from Curtis Jensen with Robotti & Company.
Curtis Jensen: Good morning. Just to clarify on Marin and there was no retail contribution this quarter. Right?
David deVilliers Jr.: Correct. 
Curtis Jensen: Can you share what you think about, what you think that will do in terms of NOI on a run rate basis or something?
David deVilliers Jr.: We have a lease with both leases are complete, I would say that the solace, which is the taking of the large space on the water, I believe is about 5500 square feet. Curtis and I think they're going to generate about $220,000 plus or minus a year once they get opened up. And then the other one is a smaller area of about 1500 square feet. And that's a license agreement with one of our outside pop up vendors that are going to pay us a percentage of revenues. So, it's kind of hard to say but that's kind of where we are right now. And these places really won't be up and running. They'll be some, you know, some free rent. You know, that comes about in 2022. But I think once they get up and running 250 plus is going to be where you are. 
Curtis Jensen: Okay. And it looks like the Marin did have a guess for the quarter starting April 1, $1.38 million on an NOI basis is that had an occupancy or something like that? Is that a ballpark? Might taken that off from the press release [ph].
David deVilliers Jr.: Yes. That's about right, yes. I got to remember, we were still ramping up but that's we'd like to think I'm going to do it better in three and four.
Curtis Jensen: Are you guys being held up at all maybe might be more relevant for like the chase in terms of, materials, appliances, you're getting appliances delivered and things like that, or is any of that eased up? 
David deVilliers Jr.: Yes. We've had our issues the chase, obviously, the encoder more than the Marin. But we lost a couple of months, not a lot, but we lost a couple of months, we have excellent contractor. And, and we did a lot of that, but you know, early on, and materials we're committed to before COVID hit, but we lost a couple of months for sure. But the one of the things is that kind of Chase is opening up, we want to get it 100% buttoned up before we opened it up, which we did towards the end of last week. So, they're going to open up, they're opening up with all 333 apartments ready to go. 
Curtis Jensen: And just remind us again, what is the bridge supposed to be? When is that going to be finished or completed is that the end of this year? The Frederick Douglass bridge? 
David deVilliers Jr.: Yes, it's scheduled to be the fourth quarter of this year, and then the and then the oval and the existing bridge coming down all of that scheduled to happen the first and second quarter of next year. And they're on they're on schedule. So I would say this time by like this time next year, it'll be done.
Curtis Jensen: Alright, and I guess you, David, you had mentioned that I think the zero uses of the yield star software to kind of, revenue optimization or whatever. And then I guess I was pretty astounded by how quickly the Coda ramped. And I know it's all about this tradeoff between heads and beds you call it versus maybe Maxim. I mean, is there any human -- kind of human judgment around the yield star thing or they just…
David deVilliers Jr.: Yes. We literally have leasing calls every week. So the baseline is still the software. But, you know, we lean pretty heavily actual on site, leasing folks and both MRP and ourselves are, you know, are there as well. And then so there's a lot of collaboration that goes into these to the pricing of these units. 
Curtis Jensen: And how that asking rents, compare it Coda say, square foot to.
David deVilliers Jr.: To what, to the chase or to what, what's that, like, there's what you're looking for.
Curtis Jensen: Like, on a per square foot or you said the Marin's at $4 or something, and I think John said, Dock at $3.50, or Marin's at $4, something like that?
David deVilliers Jr.: I want to say Curtis, maybe, John III or John take it up. Just under three bucks, a square foot. 
John Baker : Yes, that's right, David, you know, there, it's obviously lower. It's just a different building type and not on the water, that sort of thing. 
Curtis Jensen: Yes, great. That's all I had. Thanks a lot. 
Operator: And at this time, I'm showing no further questions.
David deVilliers Jr.: Okay, well, thank you all for joining us today. Despite the pandemic, we're seeing tremendous progress in the lease up of our new projects in both residential and industrial spaces. Lending ventures have benefited from the strong single family lot demand, and our royalties hit an all time high this quarter. Our liquidity remains strong with cash and investments exceeding $170 million, despite a very healthy development menu. We appreciate your interest in FRP and look forward to talking to you again next quarter. Have a great day.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect your phone lines.